Operator: Good day, and thank you for standing by. Welcome to the PrairieSky Royalty Limited announces their Fourth Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Andrew Phillips, President and CEO. Please go ahead.
Andrew Phillips: Thank you, Latonia. And good morning everyone and thank you for dialing in to the PrairieSky Royalty Q4 and year end 2022 conference call. On the call from PrairieSky are Cam Proctor, COO; Pam Kazeil, CFO; and myself, Andrew Phillips. There’s certain forward-looking information in my commentary today, so I would ask investors to review the forward-looking statements qualifier in our press release and MD&A. I'll provide an operational update and then hand the call to Pam to walk through the financial results. 2022 was strong across the entire Western Canadian Sedimentary Basin. PrairieSky saw 850 wells spot on its royalty lands throughout the year. This allowed our company to achieve double digit organic growth over the year, well ahead of any Canadian or US peer. The benefit of undeveloped land is clear in a strong capital cycle. The major investments in CIPO all in downturns include Canadian Natural Resources' fee mineral title in 2015, Cenovus' royalty lands from Heritage in 2021 and our large Clearwater land base beginning in 2016. The fee mineral title lands acquired represent Canada's largest land position in the heavy oil fairway. A land position that is irreapplicable. These were acquired prior to the multilateral drilling techniques being exported from the Clearwater to other areas of the basin in a meaningful way. Our company's WCS exposure is now significant and represents 50% of current oil volumes and is our fastest growing commodity. This is in advance of the Trans Mountain mine fill in the back half of 2023 or early 2024. This new export pipeline to the West Coast to access Asian markets represents 590,000 barrels of new capacity. Structurally lower WCS differentials should result over the medium to long term. In the fourth quarter, we entered into 64 new leases with 53 different producers, which contributed to a record year in 2022 as far as the number of leasing transactions and a record number of counterparties, many of whom are newly capitalized teams with new play ideas exclusively on PrairieSky lands. Strong leasing momentum continues into 2023. Currently in the basin 250 rigs are active versus 225 one year ago. Numerous new startup companies have been recently capitalized leading to incremental activity in the basin. Clearwater production exited the year at approximately 1,600 barrels per day, significant new discoveries and step outs made last winter in the play will see first development activity in 2022, which should lead to new growth in the play. In addition, secondary recovery in the more mature areas of Nipisi and Marten Hills are showing promising early response. PrairieSky is in a unique position in this play as the majority of our 1.3 million acres in the play are undeveloped. This will provide a decade or more of organic growth for our shareholders without incremental capital. PrairieSky continues to receive some of the strongest ESG ratings in all sectors of the North American economy, including top 1% as ranked by Sustainalytics. PrairieSky will have its biannual Investor Day in Toronto on May 17th at 9:00 am at the Royal York Hotel. Concurrent with the presentation from management, we will publish our 2023 asset handbook, detailing the book value of the current development locations that exist on PrairieSky lands directly offsetting known production. The focus of this Investor Day will be the Clearwater and the differentiation that PrairieSky has with its significant undeveloped land inventory. We will also provide a range of outcomes for the business over the medium to longer term. We hope our investors are available to attend either virtually or in person. I will now pass the call over to Pam to discuss financial results.
Pam Kazeil: Thank you, Andrew. Good morning, everyone. As Andrew mentioned, there’s certain forward looking information in the notes today, so I would remind investors to review the forward-looking statements qualifier in our press release and MD&A for Q4 and the year ended of December 31, 2022. PrairieSky had a very strong Q4, which closed down an exceptional year where we generated record annual oil royalty production, record annual royalty revenue and record annual funds from operations. Q4 2022 funds from operations totaled $119.5 million or $0.50 per share, bringing annual funds from operations to $507.6 million or $2.12 per share diluted. Strong funds from operations were a result of increased royalty production volumes from organic growth as well as acquisition volumes from 2021. Annual production averaged 25,914 BOE a day in Q4 and generated royalty production revenue of $144.8 million. Annual production averaged 25,206 BOE per day and combined with strong commodity pricing to generate annual royalty production revenue of $615.7 million. PrairieSky’s oil royalty production grew to 12,166 barrels per day, a 22% increase over Q4 2021, excluding acquisition volumes, and 7% over Q3 2022. Annual oil royalty production totaled 11,739 barrels per day, 56% above 2021 and representing 22% organic growth. Growth in volumes and strong benchmark pricing combined to generate oil royalty revenue of $98.9 million for the quarter. We were very encouraged by the organic growth from third party drilling already seen in our oil royalty volumes, and by the continued leasing of our lands. At current commodity pricing, we anticipate another active year of third party drilling across our royalty properties in 2023. Natural gas royalty volume average 66.4 million a day, 11% over Q4 2021 and in line with Q3. Higher royalty production volumes and strong benchmark pricing generated natural gas royalty revenue of $32.4 million, 46% ahead of Q4 2021 and 34% over Q3 2022. Natural gas royalty volumes averaged 64.7 million a day for the year, 9% ahead of 2021. Natural gas royalty revenue totaled $116.3 million for the year, an 81% increase over 2021. NGL royalty volume averaged 2,681 barrels per day in line with Q3 2022 and up 32% over Q4 when volumes were negatively impacted by ethane curtailments. Due to strong benchmark pricing, PrairieSky generated NGL royalty revenue of $13.5 million, an increase of 5% over Q3 and 26% over Q4 2021. NGL royalty production volumes averaged 2,684 barrels per day for the year, 10% above 2021 and generated $58.6 million of NGL royalty revenue. There were 248 wells spuds in our lands in Q4, which were 85% oil. This is up from Q4 2021 when 194 wells were spud. The Mannville was the most active play with 48 heavy and light oil wells spud followed by the Viking with 46 wells spud and the Clearwater with 43 wells. An additional 73 wells were spud across the basin in the Mississippi, Cardium, Bakken and a number of other oil plays. There were also 38 natural gas wells spud in the quarter, including 20 shallow gas wells, seven Montney wells and 4 Mannville wells. And active Q4 brought total spuds for the year to 850 wells as compared to 548 wells in 2021. PrairieSky estimates that $1.5 billion of gross capital and $84 million of net capital was spent on PrairieSky's royalty lands in 2022. Net capital increased 127% year-over-year, which led to PrairieSky's strong production growth. Looking forward, PrairieSky's 2023 annual pricing sensitivities, which are all net of taxes, are as follows: A $5 dollars per barrel change in US dollar WTI would increase or decrease funds from operations approximately $21.5 million; a $0.25 per Mcf change in April would increase or decrease funds from operations approximately $4.5 million; and a $0.01 change in the US to the Canadian dollar FX rate would increase or decrease funds from operations approximately $4.5 million. Other revenue totaled $5.8 million in the quarter and included $2.1 million in lease rental, $700,000 of other income and $3 million of bonus consideration for entering into 64 new leases with 53 different counterparties. This brings annual other revenues to $27.6 million. In 2022, we entered a record 228 new leasing arrangements with 119 different counterparties, up from 139 leases with 85 different counterparties in 2021. This is an increase of 34 new counterparties year-over-year. New leasing is typically a precursor to increased sales activity and is another reason we anticipate drilling on our lands to remain strong in 2023. PrairieSky is forecasting other revenue in the range of $25 million to $30 million in 2023, including lease rental bonus consideration and other revenue. Compliance cost recoveries will be incremental to this amount and included in royalty revenue. Cash administrative expenses totaled $5.1 million or $2.14 per BOE in the quarter. This brings annual cash administrative expense to $25.5 million or $2.77 per BOE. We expect 2023 cash administrative expense to be around $30 million due to strong stock performance positively impacting share based compensation. Current income tax expense totaled $20.2 million in Q4 and this brings 2022 current tax to $85.6 million. Entering into 2023, PrairieSky has $1.55 billion tax pools offset future taxable income, mostly deductible at 10% per year. For 2023, that means first $155 million of pretax cash flow is tax free with incremental cash flow taxed at 23.5%. During the quarter, PrairieSky's funds from operations totaled $119.5 million and we declared dividends of $57.3 million or $0.24 per share with the resulting payout ratio of 48%. Annually, PrairieSky generated $507.6 million of funds from operations, which were used to pay dividends of $143.3 million with remaining cash flow primarily used to reduce PrairieSky's bank debt. PrairieSky's net debt at December 31, 2022 totaled $315.1 million, a decrease of 50% from December 31, 2021 when net debt totaled $635 million. Once again, in 2023, PrairieSky will receive the full pricing reduction related to our sustainable credit facility as we further improved our Sustainalytics ESG rating and are now ranked number 51 in Sustainalytics’s Global Universe of over 15,000 companies. Since IPO PrairieSky has generated approximately $2.2 billion in funds from operations and returned $1.6 billion to shareholders through dividends and buybacks. We'll now turn it over to the moderator to proceed with Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Jeremy McCrea from Raymond James.
Jeremy McCrea: This conference call, I can't remember the last time you guys were talking about how many lease agreements that are going on in your lands here. Can you walk through what these new lease agreements look like this time versus maybe how they deferred from a couple years ago, are there more well licenses with the agreements, more commitments, higher royalty rates, the type of plays that these new lease agreements are chasing? And then just my second question here, would you mind just reminding us what are the two fastest growing plays on your lands and just kind of your expectations of where those may go here?
Andrew Phillips: The leasing arrangements is an interesting year last year, because we were leasing everywhere from Manitoba all the way to Northwestern Alberta, so extremely active across the entire basin for all commodity types throughout 2022. I guess there was a certain focus on the kind of new multilateral opportunities within the Mannville stack in the heavy oil regions, and that's where we saw a number of new discoveries in a number of different zones, including the Waseca, the Sparky, the upper and lower Cumming. So pretty interesting new developments there. And in terms of the fastest growing plays with WCS exposure, the Mamnville stack is obviously one of them, the Clearwater at 1,600 barrels a day, growing somewhere in the range of 50% this year, again, is another very important one. And even the Viking last year actually grew from 2,000 to start the year and ended at 2,400 barrels per day of net oil production. So a 20% increase in that play where we have 9,000 drilling locations. So we've got kind of a 20 year inventory of development locations. I think the focus there was WCS did have a bit of a blowout in the back half of the year, but light oil ended up still trading over $100. So the payouts were very quick in those plays. So we did see some growth in the Viking.
Operator: Your next question comes from the line of Aaron Bilkoski from TD Securities.
Aaron Bilkoski: This is more of an, I think, modeling question, but I don't know the answer, so I figured I'd ask. What portion of that $1.5 billion of gross industry spending that landed on your royalty lands would've been gas, like specifically gas targeted versus oil targeted?
Andrew Phillips: So 20% of the capital spend was actually on the gas side, Aaron, and it was actually the highest number we've seen in about five years. I think back in 2014, it was almost 50% was spent on natural gas lands but 20% was a high number for us.
Aaron Bilkoski: And maybe a question for Pam. You talked about cash flow sensitivities and maybe I missed it. But what would be your cash flow sensitivity be to Western Canadian [indiscernible]?
Pam Kazeil: It's about $2 million for $1 change.
Aaron Bilkoski: Perfect…
Andrew Phillips: Yes, that's the -- that's G&A. And then probably the bigger, like a narrowing in WCS, the bigger impact it has is on leasing and then of course growth in that part of the basin, because I think, it has a pretty strong effect on producer economics. So I think a narrowing of the differentials should see the growth rates increase pretty substantially for us on those plays.
Operator: Your next question comes from the line of Matthew Weekes from IAGTO.
Matthew Weekes: I think you just mentioned kind of in the upcoming Investor Day kind of highlighting and talking about medium sort of long term opportunities in the land base. I'm just wondering if you could sort of touch on those at this time, and what you do kind of see as future potential opportunities over the medium and long term?
Andrew Phillips: So one of the things we highlight at Investor Day is we have our kind of proven reserves, which would be the 40,000 plus wellbores just being blown down, and that's a couple billion dollar value. We don't book any proven undeveloped locations, so the development locations directly offsetting those wells that are proven. And so what we do with the asset handbook is try and give investors a feel for what book value looks like in today's commodity environment with today's technology, no new discoveries, no new technological advancements, et cetera, and it's still well above our current share price. So we are just kind of -- it’s almost highlighted the intrinsic value of the business or the book value of the business. In addition to that, we will provide some outcomes for investors over the next five, 10 and 15 years for the business in terms of potential returns in a variety of different capital spend and pricing environment. But I think each Investor Day as highlights and a kind of a focus play, and I think the Clearwater will be the focus of the upcoming Investor Day. And I would suggest that in two years’ time, when we have our next Investor Day, it'll probably be on secondary recovery and water floods, polymer floods, et cetera because that's starting to become a big theme across a lot of our oil acreage on our more mature pools is a lot of activity on that front to lengthen the duration of those assets.
Operator: Our next question comes from the line of Adam Schwartz from Black Bear Fund.
Adam Schwartz: I was wondering if you could comment on capital allocation going forward and your thoughts on buybacks versus dividends and in general, the balance sheet, how much of debt you're comfortable holding if any? And given where the stock is trading, things seem pretty cheap. So just curious how you think about overall balance sheet and what your plans are for the cash on a kind of rolling forward basis?
Andrew Phillips: So on capital allocation, we obviously got the dividend, which is about $229 million commitment. Cash flow is significantly higher. We, over the next year , want to take debt levels down to very low levels. Ultimately, we want zero debt on the balance sheet. But buybacks will start to become part of the capital allocation sometime in the next couple of years. I think we're a business that trades well below intrinsic value, because we get very little value for the 10 million acres of undeveloped land that currently doesn't generate cash flow, but there's been a number of discoveries on those lands that have kind of proven some of the potential on those undeveloped acreage pieces. So I think the buyback definitely is an important part of the return over the long term for our business. I think we had a buyback in place for a long time and we had net cash. We chipped away at it, did it very programmatically. And then, during COVID when things got dislocated, we bought back 10 million shares at $9.30 a share. So we always like to have the available liquidity when things get challenging for both acquisitions or potential buybacks, which we view like an acquisition as well. So hopefully, that answers your question. And then on the dividend, we expect rateable increases over the next decade, just kind of parallel to the [growth] and free cash flow for sure.
Adam Schwartz: I mean, my only comment would just be perhaps contemplate some allocation between debt reduction and share buybacks given you never know where the shares are going to trade in the future and they're certainly seem pretty cheap now and you guys having very healthy high margin business. So maybe you could operate with a little bit of debt and just keep chipping away at it. Just by 2 cents.
Andrew Phillips: Yes, I appreciate the comment. I know, it's interesting when we bought Heritage, we closed at December 31, 2021 and we were borrowing at 2.1%. We rolled over the BAs last week at 6.31% at over 200% -- 300% increase in cost of debt. So definitely a good time to be retiring the debt. And we have one of the lowest cost of borrowing in the entire business because of our 98% operating margins. So it's definitely something we want to get lower in the near term.
Operator: I would now like to turn the conference back over to Andrew Phillips, President and CEO, for closing remarks.
Andrew Phillips: Just thank you very much to all our shareholders for their support over the year. We're going to work very hard for you in 2023 to continue to lease land and grow the business. And thank you to all the staff who've been exceptionally busy over the last year and continue to be into this year. So have a great day, and take care.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.